Operator: Hello, and welcome everyone to today's Commercial Metals Company Third Quarter Fiscal 2015 Earnings Call. Today's call is being recorded. After the company’s remarks, we will have a question-and-answer session and we’ll have a few instructions at that time. I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information, and will include expectations regarding economic conditions, U.S. construction activity, scrap metal pricing, expected segment volumes, future legislation, the company’s future operations, the company’s future results of operations, and capital spending. These statements are considered forward looking and may involve speculation, and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's beliefs based on current conditions, but are subject to certain risks and uncertainties, including those that are described in the risk factors section of the company's latest 10-K. Although these statements are based on management's current expectations and assumptions, CMC offers no assurance that events or facts will happen as expected. All statements are made only as of this date, except as required by law. CMC does not assume any obligation to update these statements in connection with future events, new information or otherwise. Some numbers presented will be non-GAAP financial measures, and reconciliations for such numbers can be found in the company's earnings release or on the company's website. And now for opening remarks and introductions, I will turn the call over to the Chairman of the Board, President and Chief Executive Officer of Commercial Metals Company, Mr. Joe Alvarado.
Joe Alvarado: Thank you, Jamie. Good morning and welcome to everyone joining us to review CMC’s results for the third quarter of fiscal 2015. First, I will cover highlights from the third quarter, Barbara will then provide further financial details, and I will conclude our prepared remarks with a discussion on our outlook for the fourth quarter of fiscal 2015, after which we will open the call to questions. As described in our earnings release this morning, we’ve reported net sales of $1.5 billion for the third quarter of fiscal 2015 compared to $1.7 billion for the third quarter of fiscal 2014. Earnings from continuing operations for our fiscal 2015 third quarter were $67.1 million or $0.58 per diluted share, an increase of $0.37 per diluted share, when compared to the same quarter in our prior fiscal year. Also noted in our earnings release this morning, I am pleased to report here that the Board of Directors declared a dividend of $0.12 per share for stockholders of record on July 9, 2015. The dividend will be paid on July 23, 2015. Next, I will discuss current trends and conditions in the markets in which we operate. The positive momentum of the U.S. economy continued through our fiscal 2015 third quarter. In April 2015, construction spending reached its fastest pace in more than six years with nonresidential construction leading the way with a 17% increase in spending year-over-year. Furthermore, in May 2015, nonresidential construction starts improved 8% and non-building construction starts improved 123% year-over-year. The forecast for nonresidential and non-building construction starts for our fiscal 2015 has increased approximately 7% and 16% respectively, compared to fiscal 2014. Although shipments from a number of our locations in the Central and Eastern regions of the U.S. were delayed as a result of record amounts of rainfall, particularly in Texas and the surrounding states in the latter part of our fiscal 2015 third quarter, we expect these shipments to be fulfilled during the fourth quarter of fiscal 2015. As we enter our fiscal 2015 fourth quarter, our backlogs remain strong, and we are confident in our expectation that U.S. construction activity will continue to improve during the summer months, translating into strong activity levels for our domestic businesses. For our fiscal 2015 third quarter, the average cost of ferrous scrap consumed for our minimills, our U.S. minimills declined approximately 30% per short ton compared to the same period in fiscal 2014. However, in June 2015, the Chicago shredded auto scrap price increased $30 per ton. We expect scrap pricing to continue to more closely correlate with iron ore pricing, and we do not anticipate significant scrap price recovery in the near term. The U.S. market continued to attract foreign produced steel as a result of a strong U.S. dollar and a weaker demand abroad. Imports of reinforcing bar from Turkey increased 96% for our fiscal 2015 third quarter over the same period of the prior year. In addition, during our fiscal 2015 third quarter, imports of merchant products increased approximately 9% for our fiscal 2015 third quarter over the same period of the prior year. Although imports are pressuring finished steel prices, our domestic mills continued to benefit from expanding metal margins as a result of lower raw material prices when compared to one year ago. Likewise, the lower prices of finished steel coming out of our U.S. mills started to translate into improved metal margins for our U.S. fabrication operations during our fiscal 2015 third quarter, compared to the same period of the prior year. In May 2015, a short two-month extension of temporary funding measures for the highway trust fund was passed, and the fund is now set to expire in July 2015. We remain optimistic that lawmakers will pass a long-term bill. In fact, there was a positive development in committee yesterday. However, it is becoming increasingly more likely that such a decision may not be made until after the 2016 elections. We believe the long-term bill is necessary to create an environment where state and local governments are confident to undertake major infrastructure improvement projects, which will in-turn spur increased steel consumption. With that, I’ll now turn to comments regarding our international market segments. During our fiscal third, the pace of growth picked up for the Eurozone economy, boosted by lower energy prices, which led companies pick up their prices on consumer goods. Despite the upturn in Eurozone, manufacturing growth in Germany slowed, a primary market for our Polish operations. Specifically related to the Polish economy, we saw consistent economic activity through our fiscal third quarter. We believe that continued expansion of the Polish economy will hinge on the recovery of the Eurozone and Germany in particular. From an operations perspective, the new state-of-the-art Electric Arc Furnace we commissioned in the third quarter of last year is operating at levels better than manufacturers’ guarantees and has yielded returns on this project well above our original expectations. The strong U.S. dollar, depressed oil prices, and excess global capacity for steel, and commodity products continued to challenge our international marketing and distribution segment. We expect this trend to continue through the remainder of our fiscal 2015. So with that as an overview, I will now turn the discussion over to Barbara Smith, Senior Vice President and Chief Financial Officer. Barbara?
Barbara Smith: Thanks Joe and good morning everyone. As Joe mentioned for the third quarter of fiscal 2015, we reported earnings from continuing operations of $67.1 million or $0.58 per diluted share, which compares to earnings from continuing operations of $24.5 million or $0.21 per diluted share for the third quarter of the prior year. Results from continuing operations for this year's third quarter included after-tax LIFO income of $24.1 million or $0.21 per diluted share. The increased LIFO income during this quarter and the first nine months of our fiscal 2015 is largely due to the dramatic decline in scrap pricing during our fiscal 2015 second quarter. This compares with after-tax LIFO income from continuing operations of $5.3 million or $0.04 per diluted share for last year's third quarter. Looking at our results by segment, our Americas Recycling segment recorded adjusted operating loss of $2 million for the third quarter of fiscal 2015 compared to adjusted operating loss of $1.1 million for the third quarter of fiscal 2014. During the third quarter of fiscal 2015, ferrous volumes declined 23% on flat average ferrous metal margins, compared to the same period in the prior year. On the nonferrous side, during the third quarter of fiscal 2015, we experienced a squeeze in metal margins of 16% compared to the third quarter of fiscal 2014. Our Americas Mills segment recorded adjusted operating profit of $84.2 million for the third quarter of fiscal 2015, compared to adjusted operating profit of $74.1 million for the corresponding period in the prior fiscal year. During the third quarter of fiscal 2015, metal margins expanded by approximately 10%, compared to the third quarter of fiscal 2014 as finished steel prices declined at a slower rate than scrap prices. Additionally, this segment benefited from the $13.9 million favorable change in pre-tax LIFO compared to the third quarter of fiscal 2014. Our Americas Fabrications segment recorded adjusted operating profit of $22.9 million for the third quarter of fiscal 2015 and represented this segment's best quarter since the first quarter of fiscal 2009. This compares to adjusted operating profit of $1.2 million for the third quarter of fiscal 2014. The increase in adjusted operating profit for the third quarter of fiscal 2015 was partially due to an increase in the average composite selling price coupled with 3% decrease in average composite material cost, which resulted in a 24% increase in average metal margin, compared to the same period of the prior year. Heavy rainfall during May 2015 delayed construction activity in the Central and Eastern regions of the U.S. and pushed scheduled shipments into our fiscal 2015 fourth quarter and beyond. As a result, we expect to see an increase in this segments volume as these shipments will be fulfilled during the fourth quarter of fiscal 2015. Our International Mill segment recorded adjusted operating profit of $6.1 million for the third quarter of fiscal 2015, compared to adjusted operating profit of $2 million for the corresponding period in the fiscal 2014, and $819,000 for the second quarter of fiscal 2015. As Joe stated, we continued to realize the benefits of the commissioning of a new state-of-the-art Electric Arc Furnace in the third quarter of fiscal 2014. For the third quarter of fiscal 2015, the continued strengthening of the U.S. dollar had minimal impact on adjusted operating profit, however, foreign currency changes decreased this segment’s net sales by $36 million. Our International Marketing and Distribution segment recorded adjusted operating profit of $37.7 million for the third quarter of fiscal 2015 compared to adjusted operating profit of $2 million for the same period in the prior fiscal year. The increase in adjusted operating profit for the third quarter of fiscal 2015 compared to the third quarter of fiscal 2014 was attributed to an increase in volumes for one of our trading divisions headquartered in the U.S. Additionally, the segment recorded a $36.4 million net benefit as a result of a termination of a contract with a customer, partially offset by inventory write downs in the third quarter of fiscal 2015. In addition, for the third quarter of fiscal 2015, one of our trading divisions headquartered in the U.S. benefited from a favorable change in pre-tax LIFO of $9 million compared to the corresponding period in fiscal 2014. Turning to our balance sheet and liquidity, as of May 31, 2015 cash and short-term investments totaled $381 million and total liquidity was approximately $1 billion. For the third quarter of fiscal 2015, we experienced a significant improvement in cash flows from operating activities of $198.1 million resulting from the expected release of working capital due to improved inventory turnover. During the third quarter of fiscal 2015, we repurchased approximately 139,000 shares of our common stock for $2.2 million. To date, total purchases are approximately $41.8 million. Capital expenditures were $26.5 million for the third quarter of fiscal 2015 compared to $31.5 million in the prior-year’s third quarter. We estimate that our capital spending for fiscal 2015 will be in the range of a $110 million to $130 million. Thank you very much. And I'll now turn it back to Joe for the outlook.
Joe Alvarado: Thank you, Barbara. As we enter our fiscal fourth quarter, we believe that our key market indicators point toward a strong finish to our fiscal 2015. Based on recent reports and historical trends, we believe that scrap prices are beginning to stabilize. We expect reduced volatility in scrap prices and we also expect scrap prices to more closely correlate with iron ore pricing. Our steel minimills continue to benefit from the lower input cost as a result of our vertical integration model. In spite of recent heavy rainfall affecting our operations in the central and eastern regions of the U.S., demand for our products remained strong primarily from an increase in the pace of growth of non-residential construction. We anticipate the recent surge in non-residential construction activity will continue to boost demand for fabricated steel products and continue to support increased margin for our fabrication operations in the near term. Elevated levels of imports into the U.S. and Poland supported by a strong U.S. dollar continue to pressure our volumes and margins. Lastly, we continue to monitor trade case activity both in the U.S. and abroad and the related impact to our product offerings and end market pricing. Thank you for your attention. At this time, we will now open the call to questions.
Operator: [Operator Instructions] And our first question today comes from Luke Folta from Jefferies. Please go ahead with your question.
Luke Folta: Hi. Good morning, Joe and Barbara.
Joe Alvarado: Good morning.
Barbara Smith: Good morning, Luke.
Luke Folta: I guess firstly on the fabrication business, it’s encouraging to see such a big step-up in profitability there. Can you talk I guess to some extent on how much of that improved margin you think was structural just due to the fact it’s non-res improving demand better and maybe you’ve got more pricing power in this business versus the fact that steel prices and scrap prices have sort of pulled back, and you see tend to sell a bit more forward in that business versus what substrate costs do. Any color there? It sounds like you had a pretty positive outlook into the next quarter in terms of margins. I just want to get some clarity.
Joe Alvarado: Yes, Luke, let me take that question. This is something that we’ve been a little bit befuddled by the expectations of the Street that non-residential is picking up or that the economy in the sunbelt would be impacted particularly negatively by falling oil prices, and we’ve tried to share our insights and information to diversification of market such that, and we still see very strong construction activity even in spite of the falling oil prices and more recently unemployment jobless claims in Texas specifically have abated and started to reverse themselves. So, whatever effect there might have been already seem to be abating itself. So this is just a continuation of the strength that we’ve seen across the board in our markets. And as we’ve said before, it’s not broad based to the point where it’s hitting all markets, but certainly in Texas and the Beltway and the West Coast. In Florida, we’ve seen good strong construction activity and that continues. And our order backlog reflects that continued strong demand. Even without the delayed shipments, we still have a very strong order backlog carrying into the fourth quarter which is typical at this time of the year and reflective of why we have some confidence in the fourth quarter numbers. So there is always the timing element associated with the movements in rebar pricing and fab pricing, and it all ties back to scrap. So there is no doubt that at least in the third quarter, we benefited from that and there has been no price increase, however, in our fiscal fourth quarter concurrent with the price – with the increase in scrap of about $30 at this time that was announced earlier this month. So there will be a little bit of pressure there, but we still expect to maintain strong margins.
Luke Folta: Okay. And then I guess just a couple of points of clarification. The income, the $37 million or so that was called out in the fab business, is that inclusive of the impact of inventory write-downs or were the inventory write-downs a separate piece, and if so are you able to quantify that. And then also on the shipment impact from the weather in terms of the American Mills and Fabrication Group, can you give us some sense of what the magnitude that was?
Barbara Smith: Yes, let me take the first one. The contract settlement was in the International Marketing and Distribution segment, I just want to clarify that first, Luke. And then if you look at the cash flow statement, you will see the impact of inventory write downs and gets a little over $11 million. The lion’s share of that also hit the M&D segment.
Joe Alvarado: And as for the impact of shipments in the third quarter, we are particularly hard hit in Texas where it rained 28/31 days in May, and the result was that our fab shipments fell off. As fabricating was being done, we were not able to ship it out the doors, so we had a lot of steel in the ground and trailers that were loaded waiting for delivery to job sites. That backed up into the system such that we had to adjust operations, in the [indiscernible] operation in particular, and we expect all of that to be freed up, but the estimate of lost tons in U.S. – I’ll use the central region hovered around 25%, 30% of what had been projected for the month. So we thought we’re going to have a good strong month and the rain kept us from shipping that.
Luke Folta: Okay. Just to clarify Barbara, so if you wanted to normalize the results in the M&D segment, we were going to strip out the $37 million of contract income that’s non-recurring, but then we’re also going to be adding back I think you said $10 million or so for the write downs, is that right?
Barbara Smith: The $37 million is a net number. It’s net of the --.
Luke Folta: Got it. Okay. That’s what I was trying to get at. Alright, thank you.
Joe Alvarado: Alright. Thanks, Luke. I think you got more than two in there though.
Luke Folta: Thanks.
Operator: Our next question comes from Phil Gibbs from KeyBanc Capital Markets.
Phil Gibbs: Good morning.
Joe Alvarado: Good morning.
Barbara Smith: Good morning, Phil.
Phil Gibbs: I had a question just on the conversion costs for the mill side looked a bit high, I think spreads were okay, maybe a little light with what we are looking for, but the underlying cost structure was a little bit higher. Does that have to do with some of the moving around of material or is there some outages in the quarter, anything there am I thinking about right?
Joe Alvarado: Yes. We are looking at the numbers, but we were impacted operationally and had to cut back some operations in steel manufacturing because of the rain related issues, so our production levels were below where we would have expected them to be, and whenever volume falls off, it does have an impact on conversion costs. That’s my quick and gut response. We’ll come back to you…
Barbara Smith: We’ll come back to you on the outages in the quarter. So…
Phil Gibbs: But you’re anticipating Q4 to pick up from a production standpoint given the visibility that you have right now on the order book?
Joe Alvarado: Yes. As long as sky stays sunny like they are right now, it has had – the weather, we hate to emphasize the weather, it’s not a really good excuse for not hitting our targets, but it does stop construction activity, and when it backs up in the system as it does, it has an operational impact.
Phil Gibbs: Okay. And it seems like the imports right now are probably a bit more disruptive to fabrication prices potentially versus rebar prices, because we’ve seen rebar hold up relatively well. What are you seeing now and what are you expecting in terms of the import situation domestically and how is that impacting things maybe moving forward?
Joe Alvarado: Yes, your assumption is pretty good that both prices are impacting the fab business and continue to pressure fab bidding activity. As for what we expect, the Turks have been pretty consistent in bringing material in, they seem to be the most dominant player, most of the increase year-on-year basis is almost completely attributable to Turkish imports. So we don’t expect that to abate, particularly there is a very small duties that they have to pay at the market they continue to ship to, and in particular to the Gulf Coast. So we don’t see any major change in the level of activity.
Phil Gibbs: And just lastly, what do you see in terms of differences in activity per region in terms of activity moving forward, getting better, staying the same, getting stronger. I mean what’s the hierarchy in terms of where you see the strongest activity. Thanks.
Joe Alvarado: Yes, so I’ll take that and I’ve mentioned before that the beltway around D.C. is always been strong as Texas has. The first markets we cover that we notice were really in Florida and then quickly followed by the West Coast. We’ve seen some improvement activity in Georgia, in the Atlanta area. But probably the more significant pick up in overall activity more recently has been in New York Metropolitan area. And that’s a market that we don’t serve with fabricated product, but we sell to rebar to independent that do and there is a good level of activity. And I’m sure you realize from your business there is just a lot of construction activity going on. And lot of it based around infrastructure as well as new development particularly on the housing and office building side.
Operator: Our next question comes from Andrew Lane from Morningstar. Please go ahead with your question.
Andrew Lane: Hi, good morning.
Joe Alvarado: Good morning.
Barbara Smith: Good morning, Andrew.
Andrew Lane: For your international mill division, it looks like metal margin is contracted in the third quarter to a level lower than we’ve seen for some time, but even so margins and profitability per ton improve noticeably. Could you provide some commentary as to what led to this outcome? And other than the new furnace, are there any other key projects or initiatives you’ve undertaken in Poland or planned on to take to further boost profitability.
Barbara Smith: Yes. So, Andrew, the volume was seasonally strong as we’re again moving into the construction heavy season. So volumes are pretty good in Poland and the results really reflect the actions that are being taken from a cost side. And while the new furnace is certainly contributing as Joe highlighted in his comments, we work on every line item on the P&L and so whether it’s energy or yield or labor, we’re always looking for productivity and cost improvements. In these difficult market conditions, you have to focus on the things within your control on the cost side.
Andrew Lane: Okay, great. And then are you still guiding to 2015 CapEx in the neighborhood of $150 million at the time being, could you provide an estimate as to your maintenance CapEx levels please?
Barbara Smith : Yes. I think for the time being $150 million is reasonable. It’s probably going to be lower than that based upon our experience the last few years. We tend to plan more then we actually then ultimately authorize. Maintenance CapEx varies, but it’s in the $80 million range, $80 million to $200 million.
Andrew Lane: Great, congrats on a strong quarter, thank you.
Joe Alvarado: Thank you.
Barbara Smith : Thank you Andrew. I like to follow-up that right now and just answer Phil’s question on the outages, we did not have any major outages within the third quarter, just normal shorter maintenance outages.
Operator: Our next question comes from John Tumazos from John Tumazos Very Independent Research. Please go ahead with your question.
John Tumazos: Congratulations on the very good results and I almost wish you reported or on a June 30 period, just so that people could see exactly how the results compared our [indiscernible] metal and U.S. Steel and new core and steel dynamics with fewer tons and fewer dollars invested. Congratulations.
Joe Alvarado : Thank you John.
Barbara Smith : Thank you John. We have that legacy issue of our reporting period, so it is just unique.
John Tumazos: Could you explain how the recycling business lost only $2 million given how the ferrous and nonferrous prices fell so much, did you stop buying for example at an early stage the price sponge and could you explain how the U.S. mills earned so much, or even excluding the LIFO credits and presumably Europe stayed profitable because of the cost savings in the new investment furnaces is better, but Russia increased steel production and China exports everywhere and it’s extraordinary that your mill in Poland stayed in the block.
Joe Alvarado : So, let me start with the first question on scrap. First and foremost, the volumes as you will note are down significantly and it is not because we stop buying close [ph] are just a little bit more challenged and there is not a lot coming to market at prices - at the prices that have existed and I wish I could tell you that we for saw and stepped back from buying, but we are in the market every month and we are consistent in our purchasing activity, but that volume had to be offset by some sort of cost reduction and recognizing early on that there were challenges in maintaining profitability at the staffing levels. We reduced in each of our regions in recycling and look pretty aggressively to downsize, to the right level of operations. Never a pleasant thing to do it’s painful and can be very disruptive, but as with everything in our cost in Poland as Barbara pointed out, we do the same with all of our operations domestically and I think we responded well to the anticipated reduction in volume and revenue by addressing the cost side of it. As for the mills and their operating levels, you know one of the things that we’ve tried to highlight to the market is that we are principally a long products producer, we are very dependent on nonresidential construction, which is strong and our operating profile of only being an electric arc furnace producer gives us a lot of flexibility in our operations. So, I think that's a major contributing factor to our operational performance, but being in long products and nonresidential construction is to our advantage and we've been consistent in saying, it keeps getting better, we wish we would get better faster, but this is some of the continued general progress and quite honestly John, in the second half, is always our stronger half and we guided towards that at the end of the second quarter and that's why we feel still very strongly about the fourth quarter. And then lastly in Europe, as Barbara just pointed out we are very aggressive and attacking all faces of cost, energy cost in particular, something that we've been very aggressive on which is why we installed the new electric arc furnace. It gives us a much better energy efficiency and higher throughput and productivity. Practically speaking, with our one furnace operation in Poland we are operating - we are producing at a run rate level that’s equal to our prior two furnace operation, which is why we made the investment. So, I hope I’ve answered your few questions.
John Tumazos: Thank you very much and congratulations.
Joe Alvarado : Thank you, John.
Barbara Smith : Thanks John.
Operator: Our next question comes from Alyssa Johnson of D.A. Davidson. Please go ahead with your question.
Alyssa Johnson : Hi good morning.
Joe Alvarado : Hi good morning
Alyssa Johnson : So I wanted to know is the fabrication backlog is still reflecting steel prices from three months to six months ago, or have you worked through most of that high price to work?
Joe Alvarado : There is always a mix of backlog as there will be six months from now and things that we're booking today. I can't give you a precise figure as to what the total backlog is - we are trying to pull that figure out. We do track it, but there is a lag effect of some material that was - jobs that were booked, three months to six months back that flows through in the third quarter, and we will get that number here shortly.
Barbara Smith: You know in terms of our backlog tons I think Joe indicated earlier, the tons remain quite healthy and strong and consistent. There’s been a little moment in the pricing, a little bit download pressure with rebar pricing coming down since the scrap decline earlier in the year, but it’s overall not significant.
Alyssa Johnson : Perfect, thank you.
Joe Alvarado : Thank you Lisa.
Operator: Our next question comes from Brian Yu from Citi. Please go ahead with your question
Unidentified Analyst: Hi this is Dan sitting in for Brian. Just had a quick one on the contract termination, is there any way you can provide a little more detail in terms of that contract, was it a long-term contract, and potentially what type of material was the contract covering?
Joe Alvarado : Yeah, Dan. Let me share with you that. As we've discussed before, we try to trade back to back as much as we can; that's the nature of a business, that's how we try to reduce exposure and - there are two sides to a contract and in this case this is ongoing business that would have continued and we’d have seen results in future periods, positive results from the contract, but the customer elected to terminate and so this is a settlement that resulted from that. So, this is the way we do all of a commodity product pricing. So, we don't get in the product detail, it’s not relevant. It’s basically the business model that we use and there have been some unfavorable adjustments in the past like with iron ore and this one is more favorable adjustment.
Unidentified Analyst: Okay, thanks. And then just one more quick one, just on cash flow, in terms of working capital it looked like working capital has been up a bit this year, are you guys expecting kind of a release in the fourth quarter at all this year?
Barbara Smith: Yes Dan, I will take this one. We normally have cyclicality in our cash flow. We tend to build some inventory in the late fall winter months leading into the busy season of the year and we always generally see a nice working capital release in the back half of the year, so certainly that was reflected in the results for this quarter and we would anticipate that we would have some working capital release as well in the fourth quarter.
Unidentified Analyst: Okay great. Thanks.
Joe Alvarado: Thank you, Dan.
Operator: [Operator Instructions] Our next question is a follow-up from Phil Gibbs from KeyBanc Capital Markets. Please go ahead with your follow-up.
Phil Gibbs: Thanks. Appreciate it.
Joe Alvarado: Hi Phil.
Phil Gibbs: The recycling division, I think you said you did a pretty solid job of retrenching and taking costs out, going forward does that involve taking out any feet or [ph] yards or shredders or do you feel like it's mostly just headcount reductions, just trying to get a sense of what we could be looking at in terms of actions?
Joe Alvarado: Yes, we have exited some yards even in the recent past, but there’s nothing that I can think of right now that would be critical to our continued operation or managing our costs. So, I’m not anticipating any major pullbacks.
Phil Gibbs: Okay. And the mix of rebar shipments is pretty high, I think 60% is that something that we should expect to continue, is that merely a function the challenge merchant or be it your markets strength in rebar obviously but does that mix come back into more normalized levels or should we continue to expect this?
Barbara Smith: So, for sure our billet shipments were about half what they’ve been for the previous few quarters and with the strong dollar this is not a market for our billets at this time, that’s kind of swing production if we have some excess mill capacity and we can make some margin on billet sales we will do that, and that one of the biggest factors that impacted our merchant and other shipment lines.
Phil Gibbs: Okay. Thank you.
Operator: And ladies and gentlemen, at this time, I’m showing no additional questions. I'd like to turn the conference call back over for any closing remarks.
Joe Alvarado: Okay. Well, thank you, as there are no more questions, we just like to thank you all for joining us on today's conference call and we look forward to speaking with many of you during our investor visits in the coming weeks. Thanks so much and have a safe 4 of July next week.
Operator: Ladies and gentlemen, this concludes today's Commercial Metals Company conference call. You may now disconnect.